Operator: Good day everyone and welcome to the Copart Incorporated Fourth Quarter Fiscal 2011 Earnings Call. As a reminder, today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. Jay Adair, CEO of Copart Incorporated. Please go ahead, sir.
A. Jayson Adair: Thank you, [Mat]. Good morning, everyone and welcome to our fourth quarter for fiscal 2011. We’ve got a lot to talk about and I know there will be a lot of questions, so before I start off I’ll turn it over to Will Franklin, CFO for a brief disclosure.
William E. Franklin: Thank you, Jay. Before we begin our comments, I would like to remind everyone on the call that our remarks will contain forward-looking statements. These statements are neither promises nor guarantees and are subject to certain risk, trends and uncertainties that could cause the final results to differ materially from those projected or implied by our statements and comments. For a more complete discussion of the risk that could affect our business, please review the management's discussion and analysis and the factors affecting future results contained in our 10-K, 10-Q and other SEC filings. With that, I'll turn the call back over to you, Jay to begin discussion of our fourth quarter results.
A. Jayson Adair: Thanks, Will. While we were talking about this morning it seems like the year has just been extremely fast and it was just a year ago that we were talking about fiscal ’10 and here we are in fiscal ’11 and a lot has taken place. It’s been a year of very upgrade achievement and a lot of change that’s taking place in the company. So we’re really excited about that, but we are in a transition and when you’re in a transition and doing so much, its much more than moving headquarters, its new systems that were integrating in the company, its some allocation of how we look at ops expense versus G&A expense, so it’s a number of things that are happening in the business. But the first thing I want to talk about this morning was our G&A. For the quarter, G&A was $23.7 million versus $27 million and that includes transition cost of around $800,000 that we absorbed in the quarter. For the year, it was $98.9 million versus a $106 million and that includes roughly $2.2 million in transition costs. That will continue in the next year. Our goal is to continue to refine how we operate and run the business and in that refinement we’ll be looking for obvious savings, but there will be costs associated with all the different things that we are doing in the company. Will will talk to you about all the stock that we’ve repurchased in the year, we just love this company. We think that we’ve got a wonderful future and we believe that and so as the old saying goes, we put our money where our mouth is so he’ll talk about the stock that we bought back not only in the quarter, but in the year I just want to note that we have 8.5 million shares authorized for buyback at this time. The Dallas move for the company is on track, the plans are the same. We still are looking at process centers where we’ll be placing a lot of the functions that are from payments to receiving, call center et cetera, et cetera and then the HQ will be all the folks that are associated with either integration growth, buying companies, expanding. We’re looking at lot of different areas company wise for expansion into other markets and we’re also continuing to push hard on our U.S. and UK operations, I should say North American and UK operations to expand not only in insurance, but outside of the insurance market. The Dallas move as I said is on track and we should be relocated with our HQ by the summer of 2012. There is a little delay in our integration of our new technology systems. The system that we’ve got in the company was implemented over a decade ago. So it’s time to take advantage of the new technologies that are out there in our enterprise system. Our auction inventory management unless we were expecting it to be done sometime in fiscal ’12 that will probably take place now sometime in fiscal ’13. So its not a huge delay by any stretch, its about doing it right anyway and this is all about the future, its not about something that we have to have today, its about by making these changes the same way that we did this back in the late 90s, by making these changes that will give us the ability to catapult over the next decade with all the new technologies that are out there. And then finally, I would just say that we launched project overdrive in fiscal 2012 in August beginning at the year with all of our company. Project overdrive is all about changing the experience at Copart for everyone internal and external customers and we are going to pushing really, really hard on that program this year to make it a faster, easier company to do business for everyone. So we look forward to seeing the technology changes come into place and we also look forward the changes in our services and then quality and the speed at which we deliver that service for all of our customers. So with that, I’ll turn it over to Will and then we’ll open it up for questions.
William E. Franklin: Thank you, Jay. Yesterday we reported our financial results for the fourth quarter of our 2011 fiscal year. Consolidated revenue was $215.4 million, compared to $190.5 million for the same quarter last year. Volume increased in both North America and UK, total volume increased over 7%. Purchase car revenue as a percentage of total revenue grew from 16.8% to 19.2% as both volume and ASP increased. The yield per purchase car remained relatively constant with the same quarter last year. However, because the ASP increased, the yield as a percentage the selling price declined. Percentage of car sold on the principal basis in the UK declined on a year-over-year basis from 44% to 39%, but increased on a sequential basis due to the contracts inherited with the acquisition in our previous quarter. Per car revenue for fee based transactions were up both in North America and UK. The change in accounting rules, which became effective in our first quarter of this fiscal year altered the period which we recognize certain revenues. Revenues generated for recovering a car, for converting a title with the state and for cleaning, washing and protecting a car are now recognized when performed. These services are generally performed near the time the car is assigned to us. Last year, these revenues were recognized when the car was sold usually around two months after the assignment date. Because these revenues are low in margin, in quarters in which we grow inventory revenue is increased and margin percentage is decreased. The total revenue for the quarter associated with this change in accounting was approximately $3.4 million. The yard and fleet expenses grew from $68.5 million to $81.8 million and reflect the higher volume of cars processed a significant increase in the cost to recover a car due to the increase in the cost of diesel and the increase in cost associated with developing new markets including the public dealer markets. Our gross margin grew from $86.2 million to $89.6 million. General and administrative costs excluding depreciation were $23.7 million compared to $27 million for the same quarter last year. The decline was due primarily to reduced marketing and reduced headcount. Our operating income increased from $57.2 million to $63.5 million and operating margin was 29.5% compared to 30% in the same quarter last year. Diluted EPS from continuing operations was $0.59 compared to $0.43 for the same quarter last year. We ended the quarter with over $74 million in cash sequentially accounts receivable, vehicle pooling costs and inventory costs increased as inventory grew. In the quarter, we generated over $42 million in operating cash flow and for the year, we’ve generated almost $243 million. Capital expenditures for the quarter were approximately $14 million primarily for land, facilities improvement and software development cost. Finally during the quarter, we expended approximately $135 million to repurchase $2.99 million shares of our common stock. For the year, we have repurchased over $18.8 million, at an average price of $39 per share. At the end of the quarter, we have approximately $66 million shares outstanding no an undiluted basis. This concludes my comments. Matt will turn the call over to you to fill questions.
Operator: Okay, thank you. (Operator Instructions) And first we will go to Bill Armstrong with C.L. King & Associates. Please go ahead.
William Armstrong – C.L. King & Associates, Inc.: Good morning, Jay and Will. The vehicle sales that were up about I think 28% year-over-year, I was wondering if you could just maybe flush that out a little bit more for what we’re driving that particularly. I was surprised because you’re transitioning to an agency model and you say, so why would the drive and the vehicle sales increase?
A. Jayson Adair: Yeah, sure. Well, good morning, Bill. I would just tell you that that’s really two things. One is that we are, we did make an acquisition in the UK that brought in a lot more purchase cars and we are buying more cars in the U.S. We’ve got a business called CopartDirect that buys cars from anywhere and that model is a peer purchase model. It’s not a model where we offer the option that, that we’d go principle on those cars and we make a higher margin in doing that. So those are number of reasons why we deal up with that’s probably the biggest reason.
William Armstrong – C.L. King & Associates, Inc.: Okay was that the UK acquisition done during the fourth quarter or was that earlier in the year?
William E. Franklin: No, it’s done during the third quarter.
William Armstrong – C.L. King & Associates, Inc.: Okay. Could you discuss trends and average selling prices in the U.S.?
A. Jayson Adair: Yeah, sure. ASP is up, it’s just been a good year comparing Q1 all the way to Q4 it’s been a nice trend in the way that ASPs have moved and Will, I don’t know if you’ve got something…
William E. Franklin: No, that’s exactly right.
A. Jayson Adair: Okay.
William E. Franklin: Yeah, a cost that I would anticipate to increase going forward.
A. Jayson Adair: Yeah, they are at an all time high. I mean, we are looking at really high ASPs right now.
William Armstrong – C.L. King & Associates, Inc.: Got it. And then finally, what were same store revenues for the quarter?
A. Jayson Adair: It would be more difficult to express the same store sales or same store movement in terms of revenue just because of a number of different factors and you’ve touched on a few of those. The transitioning of contracts in UK, the movement into purchasing cars in the U.S. FX that car is yet to make number of assumptions if you want to take about same store sales in terms of revenue. So for this quarter, let me express it just in terms of units. So on a same store sale basis, units were up 6%.
William Armstrong – C.L. King & Associates, Inc.: Great. Thank you very much.
A. Jayson Adair: Thanks, Bill.
Operator: And moving along, we will go to Tony Cristello with BB&T Capital Markets.
A. Jayson Adair: Hey, Tony.
Tony Cristello – BB&T Capital Markets: Hey, thanks. Good morning guys.
A. Jayson Adair: Good morning.
Tony Cristello – BB&T Capital Markets.: I guess one question you talked about sort of a delay or a push out of the system into ’13. I’m just wondering is that your sort of timing, is that sort of the third party, the top new in that timing or is it just sort of something you need to get fixed internally before you could roll that out.
A. Jayson Adair: Yeah. The answers are yes to all that. I mean we are – we’re sitting here and looking at an enterprise system that’s very different than the system we’ve got today, I mean in so many ways, and this is a company that has a great system now and has great technology now, and so we’re going to be making changes to the enterprise system, making changes to our website going forward and those are things that need to be done gently. Then there need to be things that are brought along in a fashion and works for everyone, not something we try to push or set a date, so we made a decision in the last month when we hit a bit of a roadblock with some things going on the IT side that we said, let’s not try to keep to these days; let’s push it on little further. So it’s going to be a little bit of the delay, like I said in the beginning of the call you know the year just goes by boom, boom, boom. It seems like your report on each quarter and the next thing you know the year is over. So we’ve got our hands full right now with the Dallas move and the process center moves and project overdrive and all the other things that we’re doing. So having systems going in fiscal ’13 quite frankly just makes it easier in trying to do two things as one.
Tony Cristello – BB&T Capital Markets: Okay. And is that the system also that sort of ultimately allow you to have multiple languages and sort of expand.
A. Jayson Adair: Yeah, okay.
Tony Cristello – BB&T Capital Markets: Will, maybe a point of clarification on the accounting change, because I guess a couple of quarters back and I went back and sort of re-read the transcript from the call and I thought that the accounting change would have the affect more on the first and second quarters on to the margin side and less into the third and fourth quarters and it seems like you saw that certainly in the April quarter, but then you sort of stepped back a little bit in terms of where I would have expected margins to have been for this. Can you maybe discuss a little bit on how that, how we should now think about seasonality have something changed or is it just going to be volatile as the year progresses?
William E. Franklin: The way it does introduce some volatility to our margin percentage. When I referenced those quarters is because normally that is when we have movement in our inventory. It so happens that in this quarter we had a growth in the inventory about 8%, so anytime you have a growth in the inventory you’re going to advance those low margin revenues and decrease your margin expense and that is exactly what happened this quarter.
Tony Cristello – BB&T Capital Markets: Okay. And now going into your first and second quarters we should expect that you’ve anniversary that but you’re still going to see some seasonality to that impact. I mean how, I guess maybe a better question is when we think about how margins were in the first quarter and second quarter this year is that the basis or framework we should think about when we are modeling on a go forward basis to that?
William E. Franklin: No, not first quarter, because first quarter we introduced this accounting change and recognized I believe it is about $9 million adjustment based on that. Second quarter, I think it’s appropriate. Now what we can’t predict is the magnitude. I think we’re fairly comfortable in timing that it will be effected in the same nature. Once again, I’ll refer back to just it depends on how much inventory grows on a quarter over basis.
Tony Cristello – BB&T Capital Markets: Okay. All right and then maybe just one last question, how is the migration now looking from principal agency over in the UK? Are we now sort of plateau or do we still think that there is further to go in terms of acceptability over there?
A. Jayson Adair: Well, it’s a continuing effort, likewise I referenced on trends in my comments in our third quarter, we were 36% of total volume on the principal model that grew to 39%, I would expect over the course of next 16, 20 quarters that they’ll come down, but I don’t think it will come down at really strong or precipitous rate, I think we will just manage that down as we can.
Tony Cristello – BB&T Capital Markets: Is there any reason for us to think about the macro situation and what’s going on in Europe and does that have any impact on your business operations, are they sort of defensive in nature that you don’t see much fluctuation?
A. Jayson Adair: Well, I will comment if that’s okay, I’ll comment on that one, because as the economy changes, it obviously changes average selling prices for non-damaged cars that affects ACVs. So there is some self-regulating if you want to look at it that way, there is a big piece of this where as the demand for used cars goes up, ACVs goes up as demand for used cars are down, ACVs goes down.
. :
Tony Cristello – BB&T Capital Markets: Okay, that’s very helpful. Thanks guys, I appreciate it.
A. Jayson Adair: Welcome Tony.
Operator: And moving along, we will go to Jason Ursaner with CJS Securities.
Jason Ursaner – CJS Securities: Good morning.
A. Jayson Adair: Good morning Jay.
William E. Franklin: Good morning Jay.
Jason Ursaner – CJS Securities: You mentioned selling price is being you know way up. Can you talk about the impact this is having on salvage frequency in North America and as buyer fees in North America increase as a percentage of the overall transaction revenue. Can you talk about the trade-off of volume for higher car pricing and is it one you do favorably for Copart?
A. Jayson Adair:
Jason Ursaner – CJS Securities: Got it. And the extension outside the insurance market with CopartDirect, how fast is this business actually growing now in terms of volume and can you broadly discuss some of the initiatives you’re planning to increase success with sourcing whole car volume?
A. Jayson Adair: Yeah. I mean it’s – I can it’s one of these things where it is growing at a very high rate, but it’s a small – relatively small book of business. And so while it generates a large amount of revenue, the factories you are buying the cars as opposed to just handling it as an agent, when we get into what are we doing on initiatives, we get some great people on the team that are working on that, I don’t like to get into specifics, because obviously we think some of the things we do are unique to Copart. But we are focused heavily on this, it’s a nice market, it’s a great upside for us, it’s a great opportunity and where do we see and when we finish the quarter as far as insurance versus non-insurance business.
William E. Franklin: Non-insurance was up as a percentage of total sales it is 21% I think for the last year is 22%.
Jason Ursaner – CJS Securities: Yeah. Okay.
A. Jayson Adair: So it’s – we’re seeing a nice growth in the non-insurance, but we’re also seeing a ton of cars coming in on the insurance side and as Will said, the inventories are up quite a bit. So when we look at next quarter, I wouldn’t be surprised that the trend that was continues, because we’re going to be selling off a lot of damaged vehicles in the next quarter associated with inventory bills right now.
Jason Ursaner – CJS Securities: Okay. And the Copart, the move to whole car, is it the plan still to keep that with the Copart brand or I know we talked in the last quarter that what synonymous with the Redcar versus the whole car.
A. Jayson Adair: Yeah. Right now, it is – I mean, because we sell so many non-damaged vehicles in the company that yes, Copart is synonymous with that damaged vehicle, that damaged vehicle brand, but we’ve got a thousands of customers out there that send non-damaged vehicles to us that are aware of the fact that we sell non-damaged products and we just continue to improve in that segment. So for right now, we don’t see a reason that it changes the name, no matter done a shift in the future, but I’ll get I use the Netflix example, we’re not thinking Netflix and Quickster right now, we’re just thinking Copart.
Jason Ursaner – CJS Securities: Well, that’s good news. Thanks a lot for taking my questions guys.
A. Jayson Adair: Okay.
William E. Franklin: Thanks Jason.
A. Jayson Adair: Thanks Jason.
Operator: And next in queue, we’ll go to Craig Kennison with Robert W. Baird.
Craig Kennison – Robert W. Baird & Co.: Hi guys. Thanks for taking my question.
A. Jayson Adair: Hi Craig.
Craig Kennison – Robert W. Baird & Co.: On the yard margin well on the last call, I think you mentioned you thought that yard expense might be flat on a per unit basis. First, I’m wondering whether that panned out and then second, maybe you could help me understand the major buckets in that line item and identify which of those are volume-dependent?
A. Jayson Adair: Sure. Probably the one that has the most impact this quarter was just the cost of fuel. I mean we measure the difference for pick ups in terms of zones and zones are roughly about five miles and our average zones are about eight, little over eight. So it’s about 40 miles for the average towing per car and we looked at our (inaudible) and they’re getting about five miles a gallon. So it’s about another dot and the change in the diesel fuel is $0.98 quarter over. So you have got another dollar for every zones. So it cost our (Inaudible) extra $8 on a quarter over basis to pick up car and bring it into us. And that’s reflected and they increased in the yard margin this quarter.
Craig Kennison – Robert W. Baird & Co.: Just to be clear that was the third quarter or the fourth quarter of last year?
A. Jayson Adair: That’s year over, fourth quarter of last year. The other increase is as I’ve referred to is just the increase in revenue recognition. So we’ve brought forward all those costs to recover the car to pilot and to service it. And that increased about maybe $3.1 million in the quarter to that yard and fleet expense. And then the third bucket would be our increase in cost and operations to grow these non-insurance markets. I guess there is probably the fourth bucket and that’s the increase in IT cost to support the transition SAP into Dallas.
Craig Kennison – Robert W. Baird & Co.: So on a go forward basis well, is it still fair to say in relative to Q4 maybe a flattish on a per unit basis is a decent assumption?
A. Jayson Adair: Well, it’s no, it’s not and you have to look at, it used to be that you could, look at and it would be fairly there at quarter-to-quarter, but – with the change in revenue recognition it’s going to fluctuate far more. And so in quarters in which you grow inventory, your cost per car will go up. Quarters in which you deplete inventory your cost per car will go down.
Craig Kennison – Robert W. Baird & Co.: Got it that’s helpful. Thank you and then we had big hurricane come to the North East Copart is usually the insurance industry’s best friend when a devastating hurricane hits you prove that in Florida with Katrina any impact you’re seeing from this hurricane season so far?
A. Jayson Adair: Well definitely and that is a big reason why the inventories are up to the extent they are right now I mean there is a lot of activity going on right now in the country, so yes the team is working really hard to address that and look picking up cars in a number of different states and dealing with the sat losses that are out there. So yeah it’s definitely – definitely been a busy year and that’s with respect to the hurricane side.
Craig Kennison – Robert W. Baird & Co.: And Jay in the past you past you’ve guided usually expenses raise fairly dramatically with respect to all of the efforts you make on hurricanes but it’s not that profitable any change in that thought process?
A. Jayson Adair: No I mean that tends to be the scenario with the hurricane and that’s there is a lot of expense associated with handling these cars in the quarter. Of course we’ll be selling those off and as Will just explained with the revenue recognition, so we will be selling those of in the past what would happen is with the vehicle pooling we handle a bunch of those cars and defer those cost and then incur those cars, those cost when we sell the cars. Now we’re incurring car expense upfront and then selling the vehicles of in subsequent quarters. So yeah I mean hasn’t changed Craig we’re working crazy and spend a lot of money to handle the cars and the team is all doing a good job but the way that we book the revenue and the expense has changed. So you’ll be seeing those vehicles sold of September, October the months we’re in now and next month and then even into – even in to Q2 (Inaudible) that’s a there is just a lot of volumes still coming in right now that we’re picking up. So it’s been a very active year and we are definitely cars volume to be pushed out in Qs 1 and 2.
Craig Kennison – Robert W. Baird & Co.: Helpful I’ll get back in the queue. Thanks.
A. Jayson Adair: Thank you.
Operator: Moving along we will hear from Scott Stember with Sidoti & Company.
Scott Stember – Sidoti & Company: Good morning.
William E. Franklin: Good morning Scott.
A. Jayson Adair: Good morning Scott.
Scott Stember – Sidoti & Company: If I just talk about all state are we up to full run rate right now with the exclusive contract and at a point where we can fully anniversary some of the lower margin assumptions that we had to deal with last year?
A. Jayson Adair: We are – we are full, actually we – run rate in our second quarter of this year and probably 90% of run rate on first quarter. If that gives you help in analyzing the quarter over results.
Scott Stember – Sidoti & Company: Okay and you know you guys talked about may be slowing down or pushing up some of these projects that you have in place might be IT system. Last quarter, you gave some general thoughts on what the total cost could be. Have those changed whatsoever or we still in the same ballpark?
A. Jayson Adair: No. We’re in the same ballpark. The numbers really haven’t changed, it’s just the – as you’re trying to put systems like this in place, you come up with dates and I wouldn't call them optimistic, I'd just say that they’re realistic and then you find speed bumps along the way. So where the time has been pushed out a little bit, the cost really hasn't.
Scott Stember – Sidoti & Company: Okay. And have you guys given any preliminary thoughts to CapEx for 2012?
A. Jayson Adair: While we talked about that, and last night, we’re sitting here going through the numbers and decided at this point we really couldn’t give out any estimates because, it’s just we’ve talked about what our CapEx belief is for systems. But there’s just a lot of transition going on right now. We don’t really foresee a lot of acquisition targets domestically. There are some of acquisition opportunities that are outside of the U.S. And then there will be occasional lease buy out and new store, we might open up a store or two this year. But you can look historically, the range that we have to give you is just the such a wide range, you do one of those, you know really low to really high, and I’m sitting here right now, I’m also doing it. We just don’t want to do it; I don’t want to do mislead anyone on what the CapEx will be. So we’ll report Qs 1 and 2, and then we'll move into Q3 and by then, we’ll have relocated our HQ and we’ll have a lot of better visibility, it’s just a fact of the matter is (Inaudible) transition right now. And it’s really hard to come up with estimates when you’re transitioning as much as we are.
Scott Stember – Sidoti & Company: Okay. That’s fine. So my last question. Could you just give any thoughts on how close we are to making another push as the Continental Europe?
A. Jayson Adair: Whereas probably like Tony asked a question about the just-in piece. So one of that things our new system brings is multi-language. And so while it’s really got a lot of hooks for future bells and whistles for the existing business, it is key when it comes to expanding into foreign markets with foreign language et cetera. So we do have to get that system in place before we start to do that.
Scott Stember – Sidoti & Company: Gotcha. That’s all I have. Thank you.
A. Jayson Adair: Okay. That’s Scott.
Operator: Moving along we will go to Gary Prestopino with Barrington Research.
A. Jayson Adair: Hi Gary.
William E. Franklin: Hi, Gary. How are you doing?
Gary Prestopino – Barrington Research: Good. Hey Jay there is a lot of stuff going on here; I mean you know you got the project overdrive Dallas move the process centers, the systems change. Could you maybe just kind of as this may have been answered, or may have been asked but kind of chronologically give us when you think all these milestones or these projects are going to be completed, so we have an idea of when we are going to have your company going from a transition to where you want to be in terms of all these issues.
William E. Franklin: Sure. Well for the most part for the street I’ll answer two ways. Because for the street the integration of our auction inventory management operating system the changes we are going to be making to copart.com, the impact on moving home office all of that should be finished by fiscal ‘13. When we get into Project Overdrive that is a cultural thing that is a service experience that we’re implementing in the company and that’s a three year plan, but that doesn’t have the integration and cost and transitions and all these other things that go along with the other items. So when it comes down to moving to Dallas and process centers and AMOs and all of those bits and pieces that we’ve got going on that’s going to be fiscal ’12 and ’13. Big chunk of that will be done in ’12, finished in ’13, and so as we go into fiscal ’14 we really should be completely passed these transition volumes.
Gary Prestopino – Barrington Research: What about the process centers, is that part of Project Overdrive or is that?
William E. Franklin: No that’s part of the, it is part of Project Overdrive internally, but externally to the street we really look at them differently because you all are so much more focused on what costs are going to be flowing through. Internally, we’re looking at how we are going to be delivering service et cetera, et cetera, so they are different. Yes it is part of overdrive, but that will be happening in fiscal ‘12. The process centers should be complete up running done fiscal ’12. HQ move should be fiscal ‘12, the ERP system should be more or like fiscal ‘13 and then there is some other things that we’ve got going on that will be pushing into ‘13 and then like I said, fiscal ‘14 should be about non-transition as you can get.
Gary Prestopino – Barrington Research: Okay. And then in terms of your marketing spend and all of that, I would assume you are going to continue to do the sponsorship of the Hot Rods (inaudible) or whatever but the announced bar is not something you want to revisit?
William E. Franklin: Well we might revisit it. Right now we’ve got a plan, we are going to continue to market and it served us well, we’ve been happy with everything we’ve done, but we’re always open to change you know Copart is that way. So we’re as we say we’re changed centric, so we’ll look at any of the opportunities that are out there see how they fit our business and we are a very different company than we were four years ago. In four years ago we were just coming out with these non-insurance programs and just thinking about some of the major changes and you know never thought we’d be going through new auction inventory management system changes and all the other stuff that’s going on. So a very different company today and you know when you look out like I said, when it comes to the transition really 2014 is quite a best year to think about us being kind of a straight move and by then we’ll be expanding internationally in doing other thing so we’re always going to be changing.
Gary Prestopino – Barrington Research: And then one last question as far as the CopartDirect what you’re doing with the public, are you still using, how are you getting the word out to the public beyond what you’re doing with the IHRA?
A. Jayson Adair: Yeah, I mean it is it’s an HRA, its marketing, advertising it’s a number of methods that we go. So I mean you can Google us and you’ll see us on Google search. So there is a lot of things that we’re doing to reach the public and make them aware who we are and pickup their vehicle so and we’ll continue to refine that. We’re definitely not perfect yet, we’re doing a good job and this was an invented business, it didn’t exist four years ago. We came up with it and now it’s a nice business and it needs to be you know I want to see it growing to something that’s material of the business you know 10% of the business are more something that was that are you know is a major impact of the business. So right now, it’s a great area, it’s a proven product because it works and it continue little works month after month, quarter after quarter and its continued to grow, it has had growth ever since we implemented and so I would like to just see our teams figure out the process to making that something that becomes even more meaningful to the company.
Gary Prestopino – Barrington Research: Is it bigger than dealer services at this point?
A. Jayson Adair: No, dealer services are larger.
Gary Prestopino – Barrington Research: Okay. Thank you, Jay.
A. Jayson Adair: Sure. Thanks, Gary.
Operator: And moving along we will go to Scot Ciccarelli with RBC Capital Markets.
Patrick Palfrey – RBC Capital Markets: Hi, guys this is, Patrick Palfrey in for Scot, thanks for taking my question.
A. Jayson Adair: Hi, Patrick
William E. Franklin: Hello Patrick
Patrick Palfrey – RBC Capital Markets: I guess just you know looking at the vehicle sales lets forget the principal, could you talk a little bit more about the quality of the vehicles your source in the UK. I know last quarter you mentioned that you were sourcing more expensive cars.
William E. Franklin: Do you want to talk about that or do you want me to. Okay, I mean go ahead.
A. Jayson Adair: I mean, its not that we’re sourcing them, these cars given to us by the insurance company so it has to do with the nature of the insurers that these insurance company deals with and the once that we’ve hopefully the contracts we pertained have the higher end cars.
Patrick Palfrey – RBC Capital Markets: I guess just looking out at then should we continue to see higher revenue and higher margin dollars from those vehicles but a lower margin percentage just based upon the make up.
William E. Franklin: That’s been the trend; I don’t expect that to the change.
Patrick Palfrey – RBC Capital Markets: Okay, thank you. And then I guess just one last question, I guess thinking at a little more higher level, with the averages of vehicles beyond 10 years, which should be some more total losses and new vehicle sales increased in the last couple of years. How do you see that affecting volumes out over say the next five to 10 years?
A. Jayson Adair: The volumes decrease as they don’t produce new cars, because obviously as fees go up, but then volumes increase because although vehicles are more likely to total. So we have to weigh both of those. So at the end of the day, have you weighed them both, the trend is going to be more unique, it’s just a fact. As we see vehicles getting older in America. As we go from ’10 to ’11, cars become much more likely to total and then, and thus there’ll be more, there’ll be more vehicles that are being totaled. Another question is how many of those vehicles will come to us, that is a factor of how many people have liability only on the older vehicle as opposed to comp equation. So there is no doubt in my mind that as we go forward because of what’s happened in ’08, ’09, ’10 and ’11 with new car sales we’re going to see, the average age go up and we’re going to see more units coming through. The question is when will the economy turn around, so that more and more people actually have insurance like they did back in ’07. And so those are both the factors, but as you can see what ’08, how we reacted to ’08, what it had economically how it affected us and then ’09, ’10 and ’11 and how we’ve responded. So it is a relatively recession proof business from that standpoint.
William E. Franklin: Let me add a couple of comments. So in terms of the uninsured motors, I mean there’s a direct correlation between unemployment and uninsured motors and I think if you – I’ll refer to CCC, the economies there, suggest that for every one percentage point in unemployment or movement, there’s a three quarters of a point increase in or a movement in the uninsured motors. The other factor that Jay alluded to was used car pricing and that’s a function of new car sales, but frankly, new car sales generated trade-in and the used car transaction or so. And when these new car sales were down, we have a restricted supply of used cars, which increases their value. So we see the pricing of used cars tied to the sale of the new cars. So as the economy improves, there’s more new cars in the market, we think to see the pricing diminish, which we think have a positive influence on our volume.
Patrick Palfrey – RBC Capital Markets: Okay. Thanks for taking my question guys.
A. Jayson Adair: All right. Thank you.
Operator: (Operator Instructions) Right now, we’ll go to Ryan Brinkman with Goldman Sachs.
Ryan Brinkman – Goldman Sachs Group Inc.: Hi, good morning.
A. Jayson Adair: Good morning Ryan.
Ryan Brinkman – Goldman Sachs Group Inc.: Good morning. Thanks for updating us on the progress of the headquarters move and on the SAP implementation. I know that both initiatives should ultimately end up cutting costs over time, but it would be reasonable to think that there could be some sort of short-term increase as well. Last year at this time, I remember you giving us directional G&A guidance for fiscal ’11. I think you said then that you expected overall dollars to be down year-over-year. Just given all the various puts and takes associated with the costs and the benefits of both the move and the systems change. Are you able to maybe help us out more in terms of how you’re thinking about G&A expense shaping out for fiscal 2012?
A. Jayson Adair: Well, it’s tough because this year, we’re going to have some significant costs. Last year, cost was $2.2 million associated with transaction or transition cost rather and it will be clearly more than that. So if I would say minus transition, I know we’ll be down on G&A, factoring in transition costs, it’s hard to tell and that’s why we’re – last year we wanted to give you an idea of what our goal was. So we told you we’d be down year-over-year and we were. That was entering the year with $108 million run rate. And if anyone has ever run a company and gone to their process now, is it’s – you’ve got this spending and you’ve got to turn that around in four quarters is pretty tough. So now we’re on a run rate finishing the quarter for something less than what last year’s G&A was. And we’re going to be as efficient and mindful of every dollar that we spend going into the year. So we’re going to try – as we can, it’s just hard to predict and give estimates or an idea of what that’s going to be when you’ve got the transition costs that we’ve got runs right now.
Ryan Brinkman – Goldman Sachs Group Inc.: Okay, great. And you were asked earlier on the call about the potential to expand into Continental Europe and just regarding geographical opportunities in general. Can you help us understand how you’re thinking broadly about the potential that might exist outside both North America and Europe? So for example on emerging markets like Brazil or Mexico where the car parks are exploring and more people are insured and you know how do you weigh those opportunities, which are probably more tantalized in long-term versus the opportunity to expand further into developed markets?
A. Jayson Adair:
Ryan Brinkman – Goldman Sachs Group Inc.: Okay, great. And then just last question you know for those of us in the outside its harder for us to track you know the volume environment and the salvage market versus the whole car market where we have the benefit of international auto auction association or something, and it might be difficult for you to answer to, but sitting where you are and all the information available to you, obviously your volumes are updated by all state, but what do you think is happening overall in the market and volume is it up, is it down you know how is miles driven effecting total industry volumes.
A. Jayson Adair: Yeah, I would say total industry down a little and that goes back what we talked about before the points that Will brought up about unemployment and how it affects people with respect to either deductable or completely dropping coverage or completely not you know maintaining liability but dropping comp on [collision]. So we think its down a little bit, we think that you know obviously that comes back when the economy starts to turn the other direction more people are employed, more people drive. I don’t know about you, but I know this as I travel the country that there is just a lot less traffic on the free ways, you just don’t see the kind of conjunction that you saw right around the summer of ’08 and prior to that and so I’m convinced from my perspective that as people go back to work they’ll start driving more because they have their coverage, they won’t be driving uninsured et cetera, et cetera so it will help the industry as a whole in terms of number of policies and number of total launch vehicles.
Ryan Brinkman – Goldman Sachs Group Inc.: Okay. Thank you very much.
William E. Franklin: Ryan, let me add to that. So, there are basically three factors that drive the markets. The number of cars in the road there is half of those cars involved in accident and then, of the cars involved in accident are frequently or they’re salvaged and the recent trend is all three of those factors are slight down, but we don’t expect that to continue and so when we say, we’ve grown the non-insurance, the non (inaudible) insurance market by 2% we’re fairly happy with those numbers.
Ryan Brinkman – Goldman Sachs Group Inc.: Great thanks very much guys.
A. Jayson Adair: All right, thanks.
Operator: And with this we have no further questions in queue. At this time I’ll turn it back over to the speakers for any additional or closing remarks.
A. Jayson Adair: Okay. Thank you, Matt. Again, thank you everyone for attending the fourth quarter. We look forward to reporting Q1 and that will be happening very soon about a couple of months, so look forward to telling us how we are doing and look forward to having a really great fiscal 2012 for Copart. Thank you.
Operator: And again, this does conclude today’s conference call. Thank you for your participation.